Operator: Good day, ladies and gentlemen, and thank you for standing by. Welcome to the Magnera First Quarter 2025 Earnings Call. At this time, all participants are in a listen only mode. After the speakers' presentation, there will be a question-and-answer. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Robert Weilminster. Sir, please begin.
Robert Weilminster: Thank you, operator, and thank you everyone for joining Magnera's first fiscal quarter 2025 earnings call. This is our first earnings call update since we combined Berry's Health, Hygiene and Specialties Global Nonwovens and Films Business with Glatfelter creating Magnera on November, 04, 2024. Joining me, I have Magnera's Chief Executive Officer, Curt Begle, and Chief Financial Officer, Jim Till. Following our prepared remarks today, we’ll have a question-and-answer session. In order to allow everyone the opportunity to participate, we do ask that you limit yourself to one question with a brief follow-up, then a fallback into the queue for any additional questions. A few things to note before handing the call over. On our website at magnera.com, you can find today's press release and earnings call presentation under our Investor Relations section. You can also go directly to ir.magnera.com. As referenced on Slide 2 during the call, we will be discussing certain non-GAAP financial measures. These measures are reconciled to the most directly comparable GAAP financial measures in our earnings press release and in the appendix of the presentation available on our website. Additionally, a reminder that we will make certain forward-looking statements. These statements are made based upon management's expectations and beliefs concerning future events impacting the company and therefore are subject to risks and uncertainties. Actual results or outcomes may differ materially from those expressed or implied in our forward looking statements. Some factors that could cause the results or outcomes to differ are in the company's latest SEC filings and our news releases. These statements speak only as of today and we undertake no obligation to update them. I will now turn the call over to Magnera’s CEO, Curt Begle.
Curt Begle: Thank you, Robert. Welcome everyone and thank you for joining us today. I would like to start by thanking Magnera's 9,000 employees across the globe for delivering solid financial results in our inaugural quarter, while staying focused on our business goals and working tirelessly to drive innovative processes and deliver unique solutions to over 1,000 valued-customers. I also send a special thank you to all the Magnera team members that helped close our transaction successfully on November 4. Over the past several months, I've worked closely with our Board of Directors and our leadership team to ensure an efficient transition to an exciting new era of materials. It has been energizing to visit our sites, while we celebrate our new brand identity, set expectations for 2025 and establish the foundation for the Magnera way of excellence. Our proud heritage dates back 160 years and I'm thrilled about the possibilities we will bring to the world, as a global innovative solutions partner. Slide 6, outlines the underlying framework of who we are at Magnera, centered on purpose, promise and beliefs that guide our actions. Our purpose is to better the world with new possibilities made real. It drives every action, every innovation and is connected within every single function. We are committed to bettering the world with industry leading sustainable solutions and crafting a brighter future for generations to come. We do this through constant innovation brought to life with superior service and industry leading reliability. Our promise is a co-creation of innovative material solutions that propel our customers goals and solve end user problems. We strive every day to earn the trust that our customers, partners and team can count on. We will not only create innovative materials, but also create transformative solutions that address real world problems for consumers and end-users driving our customer success. Lastly, our beliefs are the DNA of our culture that guide our actions and shape the way we achieve and deliver our purpose and promise. Moving to Slide 7, we are substrate agnostic and respond to the ever evolving consumer preferences, including a continued focus on sustainability. We are a resource conscious company and will continue with that focus. Our commitment to the environment and our social contract with our employees, investors, stakeholders and communities is unwavering. We are responsible users, the water resources we consume with many sites processing water at drinking level quality. We are proud to consume more than 10% of our energy consumption from renewable resources. We also have a growing list of 15 facilities sending zero-waste to landfill with efforts on track for others to achieve the same goal. Our global leadership position demands innovation with our technologies to meet the changing needs of our customers. On Slide 8, you will see Magnera's diverse business and customer mix with a broad platform of technology spread over 46 global manufacturing facilities. This combination enables us to draw from our extensive experience while approaching challenges with a proactive results driven mindset and a commitment to making a positive impact on the world. We have a unique value proposition when compared to our competition by offering the widest array of polymer and fiber based product offerings. Slides 9 and 10, highlight the specialty materials company created in Magnera with a portfolio that crosses both personal care and consumer solutions. Our personal care category includes solutions for end-use applications in the surgical suite, baby and adult incontinence and feminine care. Our consumer solutions category includes a leading global portfolio of technologies, products for markets such as liquid and air filtration, institutional and retail wipes, laundry care and infrastructure. The breadth of our product portfolio is one of our greatest advantages. Shifting to Slide 11, we project a long-term growth outlook for these end markets and developed countries at low to mid-single digits with emerging markets growing at a faster pace. Magnera's mission critical product offerings and market-leading positions will benefit from positive trends tied to a growing middle class, increased life expectancy, sustainability expectations, globalization of supply chains and the heightened focus for protection of personal and environmental health and wellness. By leveraging our global market position and innovative capabilities, Magnera will create unique solutions that provide value to our customers, minimize negative environmental impacts and enhance performance while capitalizing on strategic opportunities in related markets and regions, creating value for our shareholders and stakeholders. On Slide 12, I would like to briefly speak about how we are positioning Magnera for growth as a global specialty materials leader. Our first requirement was for the combined organization to run smoothly without issue on day one and after, which we have accomplished. This included completing a successful debt raise giving us ample liquidity. We have assembled a world class board and leadership team by drawing from the talent pool from our merged companies. I've laid out clear objectives for our management team and will continue to visit our global facilities to reinforce our priorities. We are actively managing working capital and accelerating global synergy programs to optimize our cash realization. We recently hit our 90-anniversary and I'm pleased to see our proven management systems driving value. Turning to Slide 13 and highlights for our first quarter, our team is laser focused on the execution of our integration plan, delivering on our cost saving initiatives, improving our operating margins and meeting our deleveraging commitments, all while supporting superior service and safety performance. Both regions are off to a solid start with first quarter results above prior year despite FX headwinds. Our team continues to focus with agility as we navigate global markets still challenged with supply demand dynamics, ongoing inflation and a volatile geopolitical environment. I'm pleased to report the team is building momentum and on track to our 3-year plan to achieve $55 million of net synergies in procurement, G&A and operational excellence. In addition, we have confidence that the combined strength of our products and technologies will further shift our portfolio to more advantaged and profitable solutions. Now, I will turn the call over to Jim, who will review Magnera's financial results. Jim?
Jim Till: Thank you, Curt. When we compare our results to the prior December quarter, we've adjusted the prior year to present on a constant currency basis and include the impact of the merger since the November 4 closing. Reconciliations to our reported results can be found in the appendix. Turning now to Slide 14, our teams continue to execute well as we focus on post-merger integration activities, while meeting customer service expectations. As a result of these, we're while meeting customer service expectations. As a result of these efforts, the December quarter was better than the prior year, both from a revenue and earnings perspective, despite FX headwinds. Revenues was up 2% to $700 million on overall flat volumes and higher selling prices, which were driven by improved product mix. From an earnings perspective, the December quarter adjusted EBITDA increased 8% to $84 million with an improved adjusted EBITDA margin of 12%, up 68 basis points compared to the prior year quarter. The increase was primarily driven by favorable price cost in both The Americas and Rest of World divisions. Next on Slide 15, the Americas division delivered 4% revenue improvement, which included organic volume growth in our healthcare, infrastructure and wipes product lines. Market conditions continue to stabilize as we are seeing early signals of localizing supply as a result of the incoming administration in The United States, being partially offset by competitive pressures from Asia imports in our South America business. Adjusted EBITDA showed strong performance increasing by 6% to $56 million with an improved adjusted EBITDA margin of 13% of 25 basis points compared to the prior year quarter. This growth was primarily attributed to our focus on improving our sales mix to higher value product categories, cost reduction efforts and improved organic volumes. Moving to Slide 16, our Rest of World division, which includes our European and Asia locations delivered year-over-year consistent revenues as we saw volume growth in all three of our consumer solutions product lines, which includes Wipes, Infrastructure and Home Food and Beverage. These gains were offset by softness in our Asia Health Care business, which resulted in overall slightly lower volumes for the division. Adjusted EBITDA was up an impressive 12% to $28 million with an improved adjusted EBITDA margin of 10%, up 119 basis points compared to the prior year quarter as the teams continue to drive improved cost productivity from structural cost reductions and delivering differentiated products in end-markets with attractive growth. Our fiscal 2025 guidance and capital allocation strategy are shown on Slide 17. The recent combination gives us the opportunity to leverage our combined know-how and scale to create value for all stakeholders while taking the necessary steps to integrate the businesses and stand up the new organization. At our 2025 midpoint, we'll deliver year-over-year comparable earnings growth of 7% as our first year at Magnera. Additionally, we expect post-merger adjusted free cash flow to be in the range of $75 million to $95 million, including $85 million of capital investments, which includes $10 million of IT conversion related CapEx, $130 million of interest and $60 million of taxes and one-time integration costs. At the end of the quarter, we had approximately $500 million of available liquidity and our net debt to pro form adjusted EBITDA was four times, which is expected to improve throughout 2025. In the near-term, we remain focused on strengthening our balance sheet by prioritizing deleveraging in-line with our stated capital allocation strategy as we work towards our targeted leverage goal of three times. This concludes my financial review and I'll turn it back over to Curt.
Curt Begle: Thank you, Jim. We successfully completed the merger and created Magnera on November, 04, 2024. Our team worked incredibly hard to get us to closing and subsequently hit the ground running, as a new company. Our number one priority is the safety of our employees and our commitment to servicing our customers with high-quality products. We will always strive to delight our customers, enhance the lives of our employees and create value for our shareholders. As we integrate and dig deeper into the highly complementary product capabilities of the combined company, including both polymer and fiber based applications, we are excited about the hybrid technology development potential for innovative sustainable applications and solutions. We will commit resources to create a pipeline of profitable growth projects. As Jim noted in our 2025 guidance and outlook, we will be disciplined in our actions to deliver long-term shareholder value by prioritizing repayment of debt and reducing our leverage to approximately three times. In summary, we are extremely enthusiastic about Magnera's future, as we are well positioned to benefit from end-market growth trends, commercial and operational execution improvements, growth through targeted capital investments and strategic customer collaboration for growth in both mature and underpenetrated geographies. We appreciate your interest in Magnera. Jim and I are happy to address any questions you may have. Operator, please open the question queue.
Operator: Yes sir. [Operator Instructions] Our first question or comment comes from the line of Gabe Hajde from Wells Fargo Securities. Sir, your line is open.
Gabe Hajde : Thank you. Kurt, Jim, Robert, congratulations on becoming a standalone entity and look forward to working with you guys.
Curt Begle : Thanks, Gabe.
Gabe Hajde : So first question, I think a lot of us are kind of thinking the same thing. On a pro forma basis, Jim, the first quarter, would we be correct in around $92 million of Q1 EBITDA, had you completed the GLT acquisition kind of at the beginning of the quarter? And then more importantly, I think, when you kind of even annualize that number, it's tough to bridge to the midpoint $395 million of EBITDA. So is there anything unique about this year, as it relates to seasonality of the business? And I appreciate I'll probably give you a little bit of a layup. I know there's synergy capture that's just starting and you'll start to monetize that. But maybe raw material movements or anything like that that we should be thinking about mindful of in that $395 million number?
Jim Till : Yes. No, I think that you got it right Gabe, which is so if you look at the reconciliations that are at the back of the presentation, you'll see that there was $84 million that we reported. But as you highlighted, there's November and December of the Glatfelter acquired business, so we're missing a month there. And then you have the $8 million pro forma add back at the bottom of the table that gets you to the $92 million that you highlighted versus $86 million comparable for the full quarter activity. And yes, it's exactly what you said, which is the synergies our anticipation is the synergies will ramp up over the course of the year, and the trending will increase which is required to hit the $395 million.
Curt Begle: So Gabe, one other thing to add there is historically our business traditionally in North America is a little softer in this particular quarter, due to Thanksgiving holiday, Christmas, New Year's et cetera. So we think about a sequential bridge to the next quarter and thereafter it typically builds up momentum.
Gabe Hajde : Got it. Okay. And then one on free cash flow and I'll hand it over. We're looking at -- I'm looking at Slide 17 and then the table that you gave us in the press release. And maybe the best way to ask the question is, what would you anticipate kind of net debt reduction from the December quarter to September of 2025? Because I see $60 million of integration and tax expense presented and then the CapEx number. But it would seem like if I just take the face of the cash flow statement, it might be closer to neutral. So how much maybe cash is available to reduce debt in fiscal 2025?
Jim Till : Yes. Thanks for the question, Gabe. There is quite a bit of noise in our first quarter and a lot of that relates to technical accounting requirements is what I would say. So as we tried to highlight the post-merger adjusted free cash flow of the quarter, so the deleveraging impact was roughly $16 million from the time we closed. There's $90 million of activity in the table that we provided, which the easiest way to think about that is there's roughly $75 million of that relates to Berry activity and $15 million of it relates to Glatfelter transaction activity. That is just a requirement that we report, from a GAAP standpoint. So from a deleveraging standpoint for the quarter, we're roughly $16 million, if you walk that towards the hard midpoint, you're talking about an incremental $70 million of free cash flow for the remainder of the year towards the deleveraging.
Gabe Hajde : Perfect. All right. Thank you. I'll hand it over.
Curt Begle : Thanks, Gabe.
Operator: Thank you. Our next question or comment comes from the line of Edlain Rodriguez from Mizuho. Mr. Rodriguez, your line is open.
Edlain Rodriguez : Thank you. Good morning. So a quick question on the Nonwovens market. I mean, my understanding is that the market is somewhat long in terms of supply dynamics. Can you talk about how the company will navigate and manage that situation if you have like oversupply, especially in some markets?
Curt Begle : Yes. Thanks for the question, Edlain. Appreciate you joining today. As you think about the Nonwoven spaces, you're probably looking at the number of products that we serve and across the globe, particularly in our consumer solutions and then personal care, it varies by that segment. Personal care probably has the longest market as it relates to the Nonwoven supply demand dynamics. We've articulated some of that historically and I think there's certainly some information out there related to it. We've taken various actions inside of our own network by idling certain facilities in the process of shutting those down. So part of that supply demand balance definitely helps us and helps the industry. As we look at the total portfolio, we really have been continuing to pivot our product offerings to where we have more advantaged offerings. So if you think about just the mix of business and a commodity substrate versus a more value add, the unique thing about Magnera is we do have over 1,000 IP protected technologies. And so we really focus on finding the premium applications and filling our lines up with the best mix of products. So long-term as you think about the global Nonwovens market being able to absorb the supply demand dynamics. It has a very strong CAGR over the course of the next five years and we see that supply demand balance getting a little bit tighter in 2027, 2028 which is what we have forecasted in our outward views.
Edlain Rodriguez : Okay, great. And a quick follow-up, like when you look at the different regions, the key regions like Europe, North America and Asia and others, like which one do you find to be more challenging? I mean, it seems like Europe is continues to be a headwind. And again, how is the company going to navigate those challenges there? Like what are you doing there to, I guess, improve your situation?
Curt Begle : Yes. So the beauty of what we do is we are a very strong local supplier in all major geographies across the globe. Throughout history, you have different levels of opportunity of growth and where those supply demand dynamics may tick up or tick down in a particular year. I think, as you look at our Asia business, it represents roughly less than 10% of our total kind of revenue across the globe. And I would say, it is extremely competitive there given the number of capacity additions that have been put in that region and just the tempering of some of the historical growth that that region has been experiencing. So versus a double-digit growth, you're talking about markets that are growing mid-single digit, some in high. Europe continues to be -- we are well-positioned in terms of our product offerings, our locations, but it also faces some of the headwinds of inflation, consumer spending. And so what we do is really going back to some of my earlier comments pivoting our portfolio and really our efforts on where we bring true value at. I think for us, it's the supply chain and business continuity benefit that we do bring because of our local presence and also the long term relationship that we have with our major CPGs and then also the regional winners inside of those spaces. So as we align, again, it's a heavy focus on identifying where we have differentiation, where we can get true value for the products and services we're providing. The U.S. right now, I would say is the most stable just in terms of where we see supply demand outlook for the business. And then again, we continue to have a very strong position from a manufacturing standpoint, service level quality out of our South American business, but they are experiencing a little bit more competitive threats from say export imports from various regions of Asia. We continue to fend that off again going back to what we truly have offered our customers is home time in full, high quality, response time extremely important. And when you are thinking about the type of lines that our products run on, they're highly specified high speed lines and so quality service and the ability, the run ability is extremely important to our customers.
Edlain Rodriguez : Okay. Thank you. I'll pass it over on.
Curt Begle: Thanks, Edlain.
Operator: Thank you. Our next question or comment comes from the line of Kevin McCarthy from Vertical Research Partners. Mr. McCarthy, your line is open.
Unidentified Analyst: Hi. This is [indiscernible] on for Kevin McCarthy. Regarding your raw material costs, could you walk us through what some of your most significant raw material purchases are? And then how you think about managing supply chain risk for the newly combined company?
Curt Begle : Yes. Hey, Matt, thanks for joining. So if you're familiar with kind of the legacy businesses on both sides, roughly 75% of our raw material purchases are made up on polyolefin, so polypropylene, polyethylene, as well as synthetic fibers. And then we also have fluff pulp. So that's the majority of kind of our raw material spend. Obviously, there's a number of other components that can go into various products, but that's the most significant. And I'm sorry, your second part of the question was what?
Unidentified Analyst: Yes. How do you think about managing supply chain risk for the newly combined company?
Curt Begle: Yes. So for us, we are the largest player in what we do. And the relationships we have with our vendors, again, the ability to lean on all regions of the world gives us a competitive edge simply because business continuity is not only important to our customers, it's extremely important to us. So being able to utilize facilities that have redundant capabilities in different geographies helps bridge some of those challenges. We also do regular S&OP programs, not only with our customers, but also our vendors. But our procurement prowess really commands that attention from our major vendors. Again, we are dealing with as you would expect all the major players in the space. So we keep a very close relationship and really strong procurement discipline within our group and within our sites.
Gabe Hajde: Great. Thank you.
Curt Begle : Thank you.
Operator: Thank you. Our next question or comment comes from the line of Roger Spitz from Bank of America. Mr. Spitz, your line is now open.
Roger Spitz : Thank you very much. First, just for the avoidance of doubt, the October Glatfelter, i.e, pre-merger EBITDA, that was $8 million. And what was the pre-merger October sales for Glatfelter?
Jim Till : Yes. The let me pull you the sales. I don't have that off the top of my head for October, but the $8 million is right for the earnings. It was consistent both for 2024 and 2023, but I'll get back to you with Roger on the sales number.
Roger Spitz : Okay. And thank you for giving me the volume impacts on an EBITDA dollar basis. But is it possible or is it just too complicated with the product mix to give absolute volume in, how do you like to say it, like in pounds, for instance, or some metric in terms of volumes as close to dollars. Dollars are very interesting, but it's also interesting to hear about sort of pounds.
Curt Begle : Hey, Roger, thanks. This is Curt. So I think this has been a challenging, particularly in the packaging space over time, just in terms of units, pounds, what measure we're using. So typically we in this business, we use metric tons. We also use square meters, linear yards. So there's a number of different metrics. We're also spending time understanding how Glatfelter measures some of their volume outtakes. It is really important for us to understand what our nameplate capacity is and what our ability is to run on those lines. And so we have various mechanisms. Jim will maybe touch on how we'll be communicating volume from a dollar standpoint, dollar cost averaging standpoint. I'll turn it over to Jim.
Jim Till : Yes. No, we use the dollar adjusted widgets ultimately. We sell, as Curt highlighted, we sell in various units of measure, right? So, and then we convert those units of measure into dollars. So it takes mix into account. So that's the best way we've seen to sort of measure our volumes at the top-line and that's we're communicating in the release here today.
Roger Spitz : Got it. I understand. I'll get back on queue. Thank you very much.
Curt Begle : Thanks, Roger.
Operator: Thank you. We have a follow-up question from Mr. Gabe Hajde from Wells Fargo Securities. Mr. Hajde, your line is open.
Gabe Hajde : Thank you, guys. I wanted to see maybe at the midpoint, if you could give us some rough measures. I mean, it was good to see favorable price costs in the quarter. And I think a lot of packaging companies are talking about seeking a value over volume strategy. So I'm curious sort of, as that was already sort of in-flight pre-merger, I'm assuming the answer is yes. But maybe just talk about, as you put together the different building blocks, the midpoint of the guidance range, maybe and again if there is a range that's fine of maybe volume, what you'd expect from price as it sits today? And then Kurt, you made a mention to the synergy realization in your prepared remarks. I don't see it in the presentation or the slide deck. And again, like, we are all trying to put together a couple of different numbers. I'm seeing a four times pro forma net leverage number in the press release. If you back into an EBITDA number that's $4.45. So that would imply again at the midpoint plus $50 million of synergy. Just anything changed with the $55 million, and I'll leave it there.
Jim Till : Yes. Just real quick, Gabe. So just in the presentation, when you go back to the reconciliations, we have a walk to the LTM. It's roughly $450 million and from the $455 million we communicated previously, it's roughly FX has moved down a little bit, but we haven't walked off of the $55 million at all in terms of the number that we communicated for synergies. If anything, it's we feel very good about the number that we've communicated and the pace in which we're achieving those.
Curt Begle : Yes, Gabe. So, and just to speak to the synergies, we did have from [gosh] (ph), a year ago that we announced the combination and the amount of work that the teams put into identifying not only identifying what we had identified pre-announcement, but the work that has been done leading up to this point, very pleased with the progress that's being made really on all fronts. So we are looking to accelerate and realize those synergies sooner than maybe what we had anticipated, primarily to help offset some of the headwinds that we might experience throughout the year related to just overall demand dynamics. Again, we're at the mercy of what consumption is in certain geographies. We feel a flattish outlook for the globe is one of the areas that we're really honing in on. I mentioned mix. So if you think about from a price standpoint, really pivoting the portfolio to where we have value advantage products. And then from a pass through raw materials, a large portion of our portfolio has a very efficient pass-through of raw materials on particularly on polyolefin, polyethylene. And what I would say that on the other fiber based business, they've done a really good job of shortening that window as well. So still work to be done in terms of making sure that we are getting those contracts and agreements established to get those any inflationary costs passed along to our customers. But I feel good about where we stand today, both from a synergy standpoint, the ability to achieve it. As you might recall, we had built in and identified quite a bit more than what we had put out there. But more importantly for us, it gives us some things to work on and adjust through during various macroeconomic developments that are going on across the globe. So I feel really good about where we're at from a synergy capture standpoint.
Gabe Hajde : Got it. Okay. And then you mentioned contracts there. Just maybe high level, I know it's always tough to speak to any one particular customer, but maybe explain for us how those work and if there's anything major coming up over the next 12 to 18 months that you guys are working on to renew and maybe things that you mentioned efficient raw material pass throughs. Are there other input costs direct or indirect that you would want to try to work in there? Or is it best left to be mostly raw materials that you're directly passing through and then go with market price increases?
Curt Begle : So just to comment on other pass throughs of expenses. If you think about our business, roughly 56% of our cost of goods sold is raw materials. That's really important that we pass those through efficiently. Lesson learned for many industry during the aftermath of the COVID pandemic or the amount of inflation that was experienced both from labor energy, things that were maybe less of a total cost in terms of our cost of goods sold. So we worked really hard on identifying opportunities to put openers within and contract language with our customers to be able to establish benchmarks and pass those along up or down for future business. The unique thing about our kind of total scope of business, we have a number of contracts and customer relationships that either renew or out for bid for opportunity for growth on an annual basis. A lot of those are staggered out throughout the year. And so it gives us the ability to take a look at what our overall cost is, what our ability is to drive our own cost reduction into the sites, into our business and be competitive in the marketplace. So again, on any given quarter, any given year, we have a number of those contracts that we're typically looking to take advantage of now that even broader portfolio and finding other ways for growth inside of those accounts, again pivoting toward more value added technologies that we have available to us.
Gabe Hajde : Got it. One last one for me. Some of your big customers have actually reported what I'd say stabilization and maybe, dare I say, a little bit of growth across on the volume side on their portfolios. And I'm just curious when you guys kind of go back and look over long periods of time, sell into the channel versus what your customers report. Do you typically lead that dynamic or is it something where we might see an improved volume trajectory, again, appreciating that you guys are doing work to up here the margin profile and the mix of the business.
Curt Begle : Yes, Gabe, I think you're speaking kind of specifically to some of the larger CPGs, particularly around the Personal Care segment. We keep a very close eye on that. One thing that's interesting is we typically will see and experience what they're going to experience a quarter in advance as they have low inventory levels and they're working out just in time program. So we can somewhat anticipate what their prior quarter is going to be about a quarter ahead based on what their pulls, we follow them within those specific categories pretty closely. So to your point, yes, there is certain – we are growing with at the same rates within some of those accounts. But if you have to also recall there's a number of other private label businesses within that space. So you look at the category, we kind of know what the total category will do over time, but we keep a close eye on all of that as we go throughout the year.
Gabe Hajde : Appreciate it. Thank you, Curt.
Curt Begle : You're welcome. Thanks, Gabe.
Operator: Thank you. We also have a follow-up question from Mr. Roger Spitz from Bank of America. Mr. Spitz, your line is now open.
Roger Spitz : Thank you for the follow-up. Hopefully, we're not getting ahead of ourselves given the proxy, but can you give an updated thinking on fiscal year 2026 for our models, CapEx and integration expense in particular?
Jim Till : Yes. No, Roger, I appreciate the question. We're not prepared to give 2026 guidance at this time. And just a follow-up to your earlier question, the Glatfelter October period was around $100 million of sales.
Roger Spitz : Perfect. And just one moment. For fiscal 2025, how should we think about working capital, inflow, flat, outflow?
Jim Till : Yes. We've assumed flat working capital for 2025. Glatfelter, just given their credit profile, they were in some credit situation, some terms where we should have some headwinds, I'm sorry, some tailwinds from the Glatfelter business and we'll have a few headwinds offsetting the Berry business. So the way we look at it today and we've had a little bit of time to work through this is flat is what we're modeling and we feel pretty good about that assumption.
Roger Spitz : Great. Thank you very much.
Curt Begle : Thanks, Roger.
Operator: Thank you. I'm showing no additional questions in the queue at this time. I'd like to turn the conference back over to Mr. Beigel for any closing remarks.
Curt Begle : Yes. Thank you for joining us today. We look forward to speaking to many of you at upcoming investor conferences and of course our next earnings call in May. So everyone have a great day. Thank you for your interest in Magnera.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This concludes the program. You may now disconnect. Everyone have a wonderful day.